Operator: Good morning, ladies and gentlemen. Welcome to the Trican Well Service Second Quarter 2021 Earnings Results Conference Call and Webcast. As a reminder, this conference call is being recorded. I would now like to turn the meeting over to Mr. Brad Fedora, President and Chief Executive Officer of Trican Well Services Ltd. Please go ahead, Mr. Fedora.
Brad Fedora: Thank you. Good morning, ladies and gentlemen. I’d like to thank you for attending the Trican Well Service Q2 conference call. A brief outline of how we intend to conduct the calls. First, Scott Matson, our Chief Financial Officer, will give an overview of the quarterly results. And then, I’ll address issues pertaining to current operating conditions and near-term outlook and then we’ll open the call for questions. With me and Scott is Todd Thue, Chief Operating Officer. So, there is people in this room available to answer basically any question that comes up. Before I turn over the call, I’d like to refer you to our website, tricanwellservice.com, and on that you will find a legal disclaimer, that talks to any forward-looking statements. So, now I’d like to turn the call over to Scott to provide an overview on the financial results.
Scott Matson: Sure. Thanks, Brad, and good morning, everyone. As Brad noted, I’d like to point out that this conference call may contain forward-looking statements and other information based on current expectation or results for the Company. Certain material factors or assumptions are applied in drawing conclusions or making a projection as reflected in the forward-looking information section of our Q2 2021 MD&A. A number of business risks and uncertainties could cause actual results to differ materially from these forward-looking statements and financial outlook. Some of these risks and uncertainties may be further amplified through the ongoing effects of the COVID-19 pandemic. So, please refer to our 2021 Annual Information Form and the Business Risks section of our MD&A for the quarter ended June 30, 2021 for a more complete description of the business risks and uncertainties facing Trican. In this call, we’ll refer to several common industry terms and we will use certain non-GAAP measures, which are more fully described in our quarterly MD&A. As you know, our quarterly results were released after close of markets, yesterday, July 27th, and are also available on SEDAR. So with that, most of my comments will draw comparisons to the second quarter of the prior year, but also provide some commentary with respect to sequential results from Q1. So, Q2 is as you know is typically our most challenging quarter, due to the effects of spring break up, but momentum from our strong first quarter definitely carried over into the second quarter with robust commodity pricing driving the rig count and our activity higher than maybe we expected as well. Revenue for the quarter was $93.7 million, down sequentially from Q1 levels due to the seasonal effects of spring break up, but up significantly from the $28.4 million that we saw in Q2 of 2020. WTI averaged just over $66 a barrel during the quarter, sequentially up from an average of about $58 a barrel through Q1 of 2021, but up dramatically from an average of $28 a barrel in Q2 of 2020. AECO gas pricing averaged about $2.94 an MCF for the quarter, consistent with Q1. But again, quite a bit stronger than the $1.90 an MCF we saw in Q2 of last year. So, strong commodity prices resulted in average Western Canadian rig count of about 84 during the quarter, again down sequentially from Q1 as we would expect, but up significantly compared to an average of 23 rigs running in Q2 of last year. So, the rig count accelerated as we moved through June and has continued to climb as we move into Q3. So, those factors led to activity levels that were significantly higher than the same quarter of last year across all of our service lines. Higher activity, continuing improvements in the efficiency of our operations, and a strong focus on profitability, including the structural fixed cost improvements made over the last year, led to significant improvements in all key financial categories as compared to Q2 of last year. Fracturing operations were down sequentially from Q1 2021, as expected, but were significantly busier than the same quarter of last year. Proppant pump was down 20% as compared to Q1 of 2021, but up more than 400% as compared to Q2 of 2020. We maintained six fracturing crews through the period, with utilization increasing as we exited the quarter. Operations were heavily focused on pad-based locations which helps minimize both, downtime between jobs and travel time and improve efficiencies. Fracturing margins remained healthy through the quarter and were a significant factor in the financial performance of the Company during the second quarter. We’re also pleased with the financial performance of our cementing and coiled tubing service lines. Cementing activity for the quarter was robust, dipping with the rig count but anchored by high levels of abandonment work. Coiled tubing activity was also quite strong with steady utilization from a number of key clients. Cost inflation is certainly starting to creep into the business and will be a factor in coming quarters. Disciplined supply chain management and a continued focus on cost control through the quarter preserved margins, helping minimize the impact of spring break up, which drove lower sequential revenues. Adjusted EBITDA came in at $14.2 million, a significant improvement over Q2 of 2020 levels. And I would note that our adjusted EBITDA calculation does not add back cash-settled stock comp expense, which was about $2 million in the second quarter. This expense fluctuates with the Company’s movement in share price, which saw an appreciation of just under 30% over the last three or four months. It also includes expenditures related to fluid end replacements of $2 million that were expensed in the period. And finally, I would note that the Canadian Emergency Wage and Rent Subsidy programs positively affected EBITDA by $6.1 million during the quarter. So, on a consolidated basis, we generated an overall loss from continuing operations of $8.4 million in the quarter or about $0.03 a share, a bit of a step down from our Q1 2020 results as we expected, but a significant improvement over the loss of $27.5 million or $0.10 a share we incurred in Q2 of 2021. Cash flow from operations was $43 million for the quarter as a result of strong operational performance and the release of working capital that is typical as we move through this part of the year. Operating cash flows and proceeds from the disposition of some non-core assets were more than sufficient to fund our capital expenditures of about $10.2 million, split between capitalized maintenance and our ongoing capital projects. The Company’s full-year 2021 capital budget remains at approximately $40 million with roughly 50% allocated to sustaining and infrastructure capital and 50% allocated to growth capital, which includes our previously announced programs to upgrade conventionally powered diesel pumpers with CAT Tier 4 Dynamic Gas Blending engines. These engines can displace up to 85% of the diesel fuel required with cleaner burning natural gas, thereby reducing carbon dioxide and particulate matter emissions. And this is a significant upgrade, and a key part of Trican’s individual ESG commitment, and a prime way of supporting our key customers in meeting their ESG goals as well. So, we exited the quarter with $58.9 million in cash and cash equivalents, positive non-cash working capital of approximately $42 million and no drawn bank debt. And finally, with respect to our NCIB program, we continue to view share repurchases as a good long-term investment opportunity for a portion of our capital. And we’ve been active in the market of late and will continue to remain active in the program going forward. So, with that, I’ll turn things back over to Brad, who will provide some further comments on our operating conditions and our strategic outlook going forward.
Brad Fedora: Okay. Thanks, Scott. I think, Scott provided very thorough summary of the quarter. So, I’ll keep most of my comments to the market in general and what we’re seeing in the market today here, as we work our way through Q3. And most of my comments will include all three business divisions. Fracturing does represent about 70% of our revenue, but everything that I am going say is probably going to apply to fracturing, cementing and coiled tubing, the three operating divisions that we currently have. So, we had a great quarter. This Q2 was much better than past Q2. So, it’s a very refreshing change to have EBITDA of about $16.5 million, adjusted EBITDA of just over $14 million and free cash flow, so now we’ve been free cash flow positive in both Q1 and Q2 of this year. So, that’s certainly -- from a competitive perspective, we’re doing quite well. And as Scott did mention, too, we do expense a lot of things that are particularly fluid ends that are capitalized by certain companies in our industry. And so, I encourage you to provide some diligence to the income statements, with respect to expenses versus capitalized items. The Q2 was much more active than past quarters. I think, we did a really good job, aligning ourselves with the right customers late last year and early this year to ensure that we did have a busy Q2. We did have our usual interruptions that we always get from weather and various logistics issues. But, generally, I think the quarter went fairly smooth. We did have some work pushed into July, but that’s fine. You can never plan perfectly. And we had a lot of large pad work that enabled us to operate efficiently throughout the quarter. And of course, we had a much better rig count this year than last year. I think, we averaged 81 rigs throughout the quarter, peaked at just under 140 in June. We currently sit at just over 150. And so, the quarter was busy. Our customers are doing a better job of smoothing out the work throughout the year and just sort of level loading throughout the year to ensure that you don’t have this big shutdown and break up like we have in past years and we hope that continues in future years. So, what happened with pricing? I’ve made a lot of comments on price, starting, I think two conference calls ago. I have mentioned that we are targeting a 10% price increase. And unfortunately, we were not able to achieve that. Believe it or not, even though we’re trying to push pricing higher, we got absolutely no support from our competitors. And in fact, some of them were even reducing pricing, which is just astonishing. I think some of that mania has stopped. There was a lot of positioning happening in Q2, and with the reduction in pricing trying to gain market share. And, of course, that never works. You just sort of ended up shuffling customers around and market share never really changes. And so, we hope they’d come to their senses on pricing. We’re certainly not operating at economic levels, our industry as a whole. We are free cash flow positive, even though some of our competitors are not. So, the industry as a whole obviously is not economic and we expect that pricing will slowly but surely go up from here. We didn’t get our 10% target. We did get modest gains in our pricing. And I think for the most part, our customers understand that pricing has to go up. I just wish our competitors would understand that. The E&P cash flows are at record high, almost historically. Free cash flow and just cash flows in general from our customers have quadrupled, when you look at what it would look like six, nine months ago. And so, we’re very focused on getting pricing at a level that allows us to achieve a positive return on invested capital, so that we have a sustaining and growing business that allows us to provide state-of-the-art services to our customer base. So, we will -- I’ll commit to, we’ll continue to focus on this and try to get our pricing up. And we’ll just need a little bit of cooperation from our competitors. We did operate 6 frac crews, about 15 cement crews and 6 coiled crews. And we’re happy with those levels. We’re focused very much on the sort of Red Deer North, which will include the Montney and the Deep Basin. I think almost 90% of our revenue comes from those areas. And with the improved gas prices, we expect that the Montney and the Deep Basin will continue to get busier and more active, and certainly pressure pumping is a core service as these plays get developed. And then, so, we don’t expect that our focus will change. We still expect that our gas and liquids rich gas will represent over 70% of our work and our revenue. And now, that oil prices are above $70, we expect to be more active in oil, and we expect that will be sort of 20% to 30% of our revenue. Our customers did pump a lot of their own sand, which is a growing trend that we expect to continue. And that’s fine. It helps with logistics. And from working capital perspective, it’s -- we just have to ensure that the prices that are charged for the equipment only and our services that don’t include sand are appropriate that we can -- now that we’re not getting a margin on the sand, we have to make that up on the equipment side. We continue to see our customers focus on getting more sand placed per well, and certainly placed per meter. And so, we’ve been asked this for years, where are we with respect to the frac industry as a whole? Are we in the fifth inning the seventh inning? Well, we’re not really sure. It feels like we’ve been stuck in the seventh inning now for five years. So, certainly, I think as everybody understands, you cannot get oil and natural gas to flow without a frac. The more effective the frac the more economic the wells become for our customers, and the quicker they pay out. So, we’re always looking at ways to improve how we place sand, and to make it more effective, of course, to get better flow out of these very tight reservoirs. We’ve continued to focus on cost. This is something that will never stop doing. This was started a few years ago to really change the cost structure of this organization. And certainly, we’ve continued that over the last year, and we will continue that going forward. I think it’s important to note that even though we’ve had a massive reduction in costs, we’re still positioned to have a large increase in revenue and crew count without an increase in any of our fixed or G&A costs. And so, we’re at a really nice place where as revenue continues to go up as the industry gets busier, our fixed costs will not go up. And so, we will benefit from all that operating leverage on a very -- on a on a fixed system. And that’s one of the attractive things about the pressure pumping industry is, as things get busier, the cash flows and the and the earnings grow very quickly. The outlook for the second half continues to get better. E&P cash flows, like I was saying, are at record highs. I think, they’ve spent a lot of money on debt repayments and their focused on dividends. And they’re focused -- our customers are focused on generating returns. And that’s all incredibly positive. To make this industry healthier, I think we all have to have real businesses. And so, the growth the growth in spending feels very thoughtful, very measured by our customers. So, we think we’re actually going to have a very sort of nicely controlled growth over the next few years, but are very optimistic about the rest of this year and next year. We’ve had a really good start to Q3 with customers taking advantage of commodity prices and drilling efficiencies and fracturing efficiencies. We expect that to continue. We don’t have a ton of visibility beyond the fall. But certainly, on a daily basis almost now, when we’re talking to our customers, everybody is sort of slowly but surely increasing their well count for the remainder of this year, and we’re starting to get a feel for Q1 of next year. We’re very optimistic and it feels like it’s going to be very busy. It’s important to note -- to take time to note here that there’s about 1.8 million total horsepower in Canada owned by all the various pressure pumping companies. There is about 1.2 million of that is active today. So, there’s roughly 600,000 horsepower of spare capacity to put to work as the industry heats up. And I think I want to stress that. Trican owns about half of that. So, it’s really important to note that, as this industry gets busier, we effectively have captured half the upside. And of course, we have a very healthy balance sheet. In fact, we have cash on our books. And so, we can afford to activate that equipment without any issues, and we can continue to invest in new technologies like these Tier 4 engines that we’ve press released a few months ago. Where does pricing go from here? I mentioned it briefly. But, I do feel like, we are in discussions with our customers and we expect to have maybe another price adjustment in the next sort of 60 days. Fuel margins are still very skinny. And in order to generate returns, we do need to focus on getting prices up in all of our divisions. Our focus remains on passing through any inflation that we receive. We have had inflation on diesel, steel costs. We’re starting to see it in sand. And of course, as diesel costs go up, the entire logistics chain, the cost of that -- of operating that, whether it’s rail or trucking, they go up as well. So, we’re starting to see inflation. And when I do talk about price increases, I do mean net price increases. So, we expect to pass on any inflation that we’re receiving to our customers directly. I think, our crew size, whether it’s fracing or coiled, we always want to grow those of course, because that’s their most profitable way to grow. I think, we’re comfortable with where we’re at with six fracturing crews. We are adding our 7th fracturing crew this fall, and I’ll talk a little bit more about that with respect to investments in technology. On the people side, this, as always, happens every time the oil field heats up. It’s -- people are always the issue. This seems to be worse than prior cycles, I would say, and something that I probably underestimated, even as recent as six months ago. It’s been -- we’ve done so much damage to the people for the last seven years that we’re finding that as we’re all trying to crew up, whether it’s us or our competitors, the people issue is going to be a significant one, that’s not going to be that easily overcome. And so, that’s also a positive. It will control the growth and the amount of crew reactivations that the industry provides, and it should make for a very tight market going forward for the rest of this year and into next year. Supply chain in general, we’re constantly trying to manage that. And, as we’ve talked about before, if you get the logistics right, that can really drive profitability. So, we’re always looking for different ways to run our business and manage our costs, I think we’ve done a really good job of getting efficiencies in our operating system and in our logistics value chain. And as we look at more technological advances, this should only improve. And as the industry gets busier, we’ll keep our costs stable and get more efficient. It should only mean that much more profitability going forward. On the technology side, we are very focused on the equipment at this stage, whether it’s Tier 4 natural gas engines that burn natural gas, instead of diesel, which provide lower emissions and lower costs, or Idle Reduction Technology. We’ve sort of had five to seven years where there hasn’t been a lot of investment in the equipment, just given the bear market that we’ve endured. And so, most of our -- when we think about our technological investments, it’s of course IT to manage everything that we’re doing in real time, but it’s really to take this equipment to the next level. And as ESG becomes more and more of a focus for our customers, the E side of -- or the E part of the ESG, of course, is talking about emissions reductions, reduced freshwater consumption, all of the things that we can provide solutions to. And so, when we make investments into our equipment, and whether it’s Tier 4 engines, or Idle Reduction Technology, this is all great help in getting emissions to reduce levels compared to historical levels. On the S and the G side, of course, we’ve continued to focus on this, whether it’s relationships with First Nations or getting a more diverse employee and board mix. We’re not just focused on the E, we are, we are looking at all other -- the other parts of the ESG as well. And I think we’ve been quite successful. We’re currently engaged in various initiatives to advance the S section of this. And whether it’s through relationships in the communities with the indigenous peoples, our inclusion and diversity strategy, I think we’ve all done -- we’ve made great advances on our ESG strategy as a whole. Just before I wrap up, I’ll talk about sort of the capital program. We have announced that we will be spending about $40 million, and that includes -- about half of that is for our Tier 4 fleet, which will come to the market in October. The other half of that capital program is for basically ongoing maintenance capital, which you would expect on an annual basis. From a growth perspective -- or from an acquisitions perspective, we’re still very focused on just getting our existing business, operating efficiently, getting equipment off the fence and into the field, if there is opportunities there. We’re fortunate enough to be able to afford any equipment activations or any rebuilds or upgrades that may need to be done. And that’s always your best return on investment, before you start to look at acquisitions or other growth opportunities. So, we feel like we’re just going to stay very-focused on our core businesses in all three divisions and making sure that we can keep up with the increases in the capital programs that we’re seeing from our customers. On the NCIB side, Scott has said that we’ve been active throughout the year. Actually, even though we’ve been active, it’s been sort of frustrating for us. It feels like we’ve kind of chased the stock up and we haven’t been as active as we would have liked. And it probably won’t change a lot for the remainder of the year. So, all I can say is that we see that as a good investment and we’ll buy as much as we can in the market, given that our pricing and volume parameters, that we’re dealing with. I’ll turn the call over for questions. Thanks for dialing in.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Aaron MacNeil with TD Securities. Please go ahead.
Aaron MacNeil: Good morning. Thanks for taking my questions. Brad, on your comments on pricing and the potential for reactivations, do you think there is any nuance in how you’re customers -- or your competitors, sorry, are behaving in terms of like how they’re pricing stuff that’s warm and needs to get out versus bringing something off the fence? And are you worried that your competitors may seek lower return expectations to bring equipment off the fence versus what you want to do that for?
Brad Fedora: I give up trying to figure out how to view the business. So, you’d have to ask them that. The pricing behavior in the last four months is shocking, to say the least.
Aaron MacNeil: Maybe a better question is on the incremental Tier 4 Dynamic Gas Blending engine conversions. So specifically, are you in the late stages of engaging with one or more customers on an incremental frac spread? If so, is pricing the hang up, is contract duration the hang up, and how much of this would you view, would you be self-governing on how much you spend?
Brad Fedora: Yes. So, we made that investment in the Tier 4 engine. It’s about a $20 million upgrade to our existing equipment. And so, we’re not adding horsepower to our fleet or to the fleet in Canada as a whole. But, it is a significant investment. And so, we obviously would never have done that at pricing that we were seeing at Q1 or certainly Q2. And, we’re fortunate. We’ve got good customers that understand they can’t have the state-of-the-art equipment that requires a big capital investment at pricing that you saw through COVID. And so, naturally, we would never make any more of these investments. So, we didn’t invest in the first fleet at current market pricing. It was at a premium. And we would continue to sort of evaluate our returns on any future or any further fleets that could be upgraded with Tier 4 technology. But certainly, we would never sell the equipment for the same price as diesel-powered frac gear or frac gear that’s been -- has a natural gas conversion kit that only displaces 50%. You’ve effectively got three tiers of equipment now. And we will have the discipline to make sure that that third tier or the natural -- this Tier 4 DGB engines are getting premium pricing. That I think should be obviously and I hope our competitors are thinking the same. But, to your last point, is pricing the issue with getting this gear contracted? Of course, right. I mean, everybody naturally wants more for less. Our customers are no different. And the problem is, this industry is quick to give people more for less on a regular basis. And so, we’re hoping there’s discipline going forward on any capital that’s put into equipment. But certainly regardless of what our competitors are doing or not, we will not be investing in any more Tier 4 technology, without a clear pathway to a good return for our own shareholders. It’s very -- it’s a very efficient equipment for our customers, is a big cost reduction from a fuel perspective, it lowers their emissions, helping them get their achieve their ESG targets. So, naturally, we’re not giving that away for the same price that we would put 10 year old, two generation old equipment to work for, so. But price, given the large portion of the overall ticket that fracing represents, pricing is always an issue.
Aaron MacNeil: Maybe I’ll just ask one more. Maybe I was reading too much into the outlook commentary, but it kind of sounded like you’re closed on an incremental…
Brad Fedora: We trialed the Tier 4 engine with multiple customers. And it was very well received. Everybody would like more of that equipment. We still only have the one pump with Tier 4 technology. Obviously our crew number seven or low emission spread number one is in construction, but it was very well received by everybody. So, we’re in lots of discussions with lots of customers about getting more of this equipment. But again, they won’t be getting it, unless they’re prepared to pay a little bit more for it.
Aaron MacNeil: Understood. Couple of housekeeping questions on cost inflation. First one, are you starting to stockpile critical components, like fluid ends? And then, on the labor side, have you communicated any expectations to your customers about potential pay increases to retain your staff?
Brad Fedora: Yes. We monitor our parts inventory closely. And we work with our suppliers, sort of daily, to ensure that we’re not going to have any supply or parts interruptions. We don’t typically discuss the nitty-gritty of labor costs with our customers. But they -- these are all local and credibly sophisticated, right? They understand that. Given the sort of the pension, labor, as we try to scale up this industry as a whole, we’re going to have labor issues. And that of course, is going to mean inflation and somebody has to pay for it. So, those conversations, I think, are fairly obvious.
Operator: The next question comes from Andrew Bradford with Raymond James. Please go ahead.
Andrew Bradford: Thanks. So, I do want to just pick up on Aaron’s line of questioning on the Tier 4 crew you have coming out. And so, just to be clear, like, with appreciation you try the original pump with a number of different -- would be customers for the equipment. But, are you perceiving that there is any -- you have any competition on say the netting out of basin’s second Tier 4 spread or is this still very much a Trican show?
Brad Fedora: We would expect that we’re better positioned than most to bring a second low emissions fleet to Canada.
Andrew Bradford: Okay. So, let’s pretend and say, the next customer has stepped up and said, yes, I understand. We need to give you some term and pricing with recoup some reasonable return on the incremental capital, and that all happened tomorrow. What kind of lead times would we be looking at?
Brad Fedora: Six months.
Andrew Bradford: So, by the end of -- pardon me, by mid-winter then?
Brad Fedora: Yes.
Andrew Bradford: Yes, hypothetically. Okay. All right. I think, Aaron did a good job with all the other questions. So, I’ll just leave it at that. Thanks.
Operator: The next question comes from Waqar Syed with ATB Capital Markets. Please go ahead.
Waqar Syed: Thank you. Thanks for taking my question. Brad, just broadly, we’re seeing rig count slightly higher than Q1. Do you think that your revenues likely to be higher than Q1 and EBITDA in Q3?
Brad Fedora: Yes. Unless -- if activity continues in August and September, like it has in July, and we don’t have some crazy inflation that we just don’t foresee at this stage, I would expect both, revenue and EBITDA to be at least as high as Q1.
Waqar Syed: Okay. Then, just another kind of broader question. Could you maybe talk about industry pumping supply-demand currently, and where you think that ends up by the end of the year?
Brad Fedora: So, with 150 or so rigs running -- between 150 and 160 rigs running in Canada, that basically consumes all of the frac gear that’s active today. So, there’s -- out of the 1.2 million horsepower, I would expect that all of that is effectively a 100% utilized. There’s always little gas here for ourselves or our competitors, but that’s not significant. So, I think anything that’s crewed today is active. And so, as this year unfolds, I do expect that customer programs are going to expand. Like I said, they’re going to be modest and measured, and it’s all going to be very thoughtful spending. But, given that we’ve got gas prices where they are and oil prices where they are, I mean, the tails on -- the half cycle economics on these wells, they’re huge. Right? These are -- this is a great time to be in the oil and gas business. So, I expect that that 1.2 million is fully utilized for the remainder of the year, and that you’re going to start to see equipment get pulled off the fence, if you can staff it. And that’s not going to be easy. But we’ll figure it out, like ourselves and our competitors, we will figure it out. But, I think it’s going to be slow, which is still positive.
Waqar Syed: Yes. Another question is that, like, the service intensity in Canada continues to increase in longer laterals, more sand pumped per well. And then, I’m assuming when you’re doing those things, you’re increasing the rate at which you’re pumping the fact with downhole as well. Now, when all of these things are happening, then horsepower requirements per well are likely to increase as well. And so, your horsepower per crew is going to go up. And so, even with the same number of crews working, you may start to absorb more horsepower. And then, your also maintenance CapEx, probably goes up as well. So, how are all of those things kind of tracking? And I would assume that per crew kind of pricing increases need to be more meaningful, just because of that service intensity that’s going up.
Brad Fedora: You’re absolutely right. I mean, everything you said is true. And so, today’s price levels don’t work.
Operator: The next question comes from Cole Pereira with Stifel. Please go ahead.
Cole Pereira: Hey. Good morning, everyone. So, as we think about the possibility that additional reactivations might be needed in 2022. So, it sounds like ideally, if you can contract a return, you would like to add a Tier 4. But maybe in the event that that doesn’t occur, would you consider bringing back a conventional or a bi-fuel spread into the market?
Brad Fedora: Yes. But, just given the focus on emissions and operating efficiencies by ourselves and our customers, and just the requirements to the oil and gas industry as a whole to work towards lower emissions and a greener overall industry, our strong preference would be, anytime we reactivate equipment that it’s reactivated with a Tier 4 natural gas engine. I guess, the other thing too, would be, as -- we talk only about the pump, but there’s a lot of other equipment on location. And so, we have started to convert some of the support equipment. I guess, you wouldn’t call a blender support equipment, but we have started to convert some of the non-pumps, equipment to being electric. And I think that’s a better overall solution for Canada is a combination of natural gas fired pumps, combined with maybe some of the support equipment running off of electricity. And that way, you can get enough electricity onto these pads to run that equipment. In order to run all of the pumping equipment to convert it to being full electric is a challenge we don’t perceive the industry overcoming anytime soon. So, I guess, back to your original question, our focus is on lower emissions equipment, whether it’s Tier 4 engines on the frac pump or electrifying our other support equipment.
Cole Pereira: Okay, great. That’s helpful. Thanks. And maybe going back to labor shortages. Can you just maybe give some additional color on exactly what some of the drivers are? I mean, is it people leaving the energy industry, is it different training requirements and regulations or what?
Brad Fedora: It’s all of the above. I mean, we -- only 10 months ago we laid off 450 people, right? And so, those 450 people went and found something else to do. They’re tired of the volatility of this industry in the past five to seven years. And so, it’s a lot to get them to come back. We’ve lost their trust. They have to make a living. So, we have to ask very nicely for them to come back, and eventually they’re going to start making demands on us from a compensation perspective that we will probably have to fulfill as an industry. So, it’s all of the above. They’ve left the industry. They’re going to the best opportunities. We’re extremely fortunate that we’re busy and we’ve got a very good sort of steady customer base. And so, if you’re looking for a job in the pressure pumping industry, we are their natural first call, because, of course, they’re going to make a living and a steady living, and they’re going to have some predictability in their monthly earnings. So, we’re in a great position to get those workers that want to come back into the oil and gas industry. But, a lot of them have left the industry as a whole.
Cole Pereira: Okay. That’s helpful. Thanks. And I’m just wondering as well as we think about Q3 relative to Q1, can you -- I believe in Q1, there were maybe some small gaps in your schedule. Can you just kind of comment on whether you see that at all in Q3, or if you’re fairly fully booked?
Brad Fedora: The board is booked, but there is always rain and stuff. There is always a gap somewhere, nothing significant or anything that we can prevent in most cases, because it’s a pad that you’re supposed to be on, next week gets rained on for three days, and there is just going to be delays.
Cole Pereira: Yes. That’s fair. Okay, great. That’s all from me. I’ll turn it back. Thanks.
Operator: The next question comes from Keith Mackey with RBC. Please go ahead.
Keith Mackey: Hi. Thanks for taking my question. I just wanted to start by following up on the question about your Q3 revenue, EBITDA forecast. Assuming that that amount you kind of talked about, Q3 beating Q1 or matching it, that is inclusive of any Q’s proceeds, and do you have a number that you might expect for Q3 that you might receive?
Brad Fedora: We’re not really budgeting Qs anymore. I think, in particular quite conservative approach that program is winding down. And so, our assumptions on Qs are greatly reduced for the second half, compared to the first half. That’s probably about all the detail I can give you.
Keith Mackey: Got it. Okay. I appreciate that. And then, just a follow-up on outlook commentary. You mentioned customers recognize the pricing market. Has that translated -- how is that manifested into demand? You mentioned that you got some visibility into Q3 and then not a ton beyond that. But, have there been RFPs coming earlier or are you expecting some start-up of any sort of LNG related work coming that might increase your confidence there, or just curious as to where that comment comes from.
Brad Fedora: So, we have really good visibility for Q3. At this point in the quarter, I mean you need to be scheduling the last day of September. And we have some visibility into Q4. But, of course, as the month -- as you get out there in the months, it’s less and less sort of exact date certainty. It’s more just general, hey, we expect to do this many wells in this particular month, et cetera. Some customers are extremely detailed in their scheduling and they go out way beyond Q4 even. But as a whole, the longer out you look, the further out you look, the less certain your scheduling gets. So, there’s nothing unusual going from an RFP perspective or from an LNG perspective, it’s kind of gets to sort of normal visibility for this time of the year. I would say, the industry as a whole does feel like it’s getting -- it has gotten considerably better in its long-term planning. Even then -- sort of a few short years, even sort of three to five years ago, I took a sort of a three-year hiatus from the industry. And the longer term planning is much better now than it was then. So, that’s a great help from like, things like a sand supply perspective and a people perspective, it allows us to do a better job planning, and that planning and logistics coordination usually results in better profitability. So, there’s nothing unusual happening. There’s no scramble for RFPs to -- before prices go up or anything like that. It’s the industry is healing itself. This time last year, there was 20, 30 rigs running or something like that. This is slowly but surely warming up.
Operator: The next question comes from Tim Monachello with ATB Capital Markets. Please go ahead.
Tim Monachello: Hey. Good morning, guys. I just want to follow up on some of the labor questions. I’m curious, as we look into Q1 2022 and seasonality, which is just especially higher than the second half of this year, how much do you think the activity can increase before labor tightness becomes a real issue and you’re looking at sort of hiring completely green crews? And what’s the lead time for training and certifying crews there?
Brad Fedora: So, we’re at that point, there can be no further increases in activity without additional labor, and we’ve been hiring now for the last two months. You never have a green crew. People new to the industry gets sprinkled around with experienced people for mentoring purposes, mentoring and training purposes. So, everybody -- we’re no different than anybody else with respect to that. The training, it comes in stages. But there is at least sort of a month delay in getting a new person into this industry and before they’re in the field. And then, there is ongoing training that they have to come back into the shop for, the training centers for. But generally, the hiring process is probably the longest delay. We’re starting to hire now for what we expect to need in Q4, just given that it’s -- given the shortage of -- or the lack of interest in our sector and the inability to travel around the country, as easily as we’ve had in the past. Once -- as these COVID restrictions continue to lift, then we’ll get people from Eastern Canada coming back into the industry, which will help alleviate some of our issues. But, right now, everybody is fairly cautious with respect to traveling back and forth.
Tim Monachello: Got it. And, I mean, there is a growing course of service companies talking about labor tightness, and I’m sure that your clients are hearing as well. Are you starting to get inbounds for clients that want to lock equipment for their 2022 program already?
Brad Fedora: Yes. We’re fortunate that we have sort of a long-term customer base. So, we’re always in discussions about sort of 6 and 12 months out, regardless of what time of year you’re in. So, yes, I mean, our core customers certainly, we’re trying to plan for the first half of 2022. And to the extent that they can pass on what their plans are, they will share that. But, there is -- as you know, it’s -- budgets need to be approved by boards of directors, et cetera, before information can be shared. But, we certainly understand the trend is that there all of our core customers are getting busier.
Tim Monachello: Okay. And then, just the last one for me is, you talked about, I guess, the marginal cost of adding labor and with the wants or request from potential new employees in terms of wage increases and potential perks. Can you speak to that at all? Because I think that’s a good guideline for where pricing could go.
Brad Fedora: Well, it’s hard to predict. But, I mean, certainly, a 5% increase in the overall cost of labor, whether it’s direct day rates or benefits associated with the employees. We’re kind of assuming it’s at least 5%.
Tim Monachello: Okay. That’s helpful. Thanks a lot. I appreciate it.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Fedora for any closing remarks.
Brad Fedora: Thanks everyone. The management team at Trican will be available throughout the day to take any further questions. I think, our phone number is posted on the press release. So, if you have any further questions, please call us directly. Thanks again for your interest.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating. And have a pleasant day.